Operator: Good afternoon ladies and gentlemen and welcome to the Cathay General Bancorp's Second Quarter 2017 Earnings Conference Call. My name is Cherie, and I'll be your coordinator for today. At this time all participants are in a listen-only mode. Following the prepared remarks, there will be a question-and-answer session. [Operator Instructions.] Today's call is being recorded and will be available for replay at www.cathaygeneralbancorp.com. Now I would like to turn the call over to Monica Chen, Investor Relations of Cathay General Bancorp.
Monica Chen: Thank you, Cherie and good afternoon. Here to discuss the financial results today are Mr. Pin Tai, our Chief Executive Officer and President; and Mr. Heng Chen, our Executive Vice President and Chief Financial Officer. Before we begin, we wish to remind you that the speakers of this call may make forward-looking statements within the meaning of the applicable provisions of the Private Securities Litigation Reform Act of 1995 concerning future results and events and that these statements are subject to certain risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are further described in the company's annual report on Form 10-K for the year ended December 31, 2016 at Item 1A in particular; and in other reports and filings with the Securities and Exchange Commission from time to time. As such, we caution you not to place undue reliance on such forward-looking statements which speak only as of the date of this presentation. We undertake no obligation to update any forward-looking statements or to publicly announce any revisions of any forward-looking statements to reflect future developments or events, except as required by law. This afternoon, Cathay General Bancorp issued an earnings release outlining its second quarter 2017 results. To obtain a copy, please visit our web site at www.cathaygeneralbancorp.com. After comments by management today, we will open up this call for questions. I will now turn the call over to Chief Executive Officer, Mr. Pin Tai.
Pin Tai: Thank you, Monica, and good afternoon. Welcome to our 2017 second quarter earnings conference call. Before we discuss the results of the second quarter of 2017, I wish to discuss the acquisition of SinoPac Bancorp, the parent company of Far East National Bank, which we completed last Friday, July 14. We are very excited to welcome the Far East National Bank customers and employees into the Cathay family. This acquisition will strengthen our branch network and franchise in California and deploys a portion of our capital to generate strong returns. In addition, we will also have a representative office in Beijing. As previously announced, total consideration was $351.6 million as the additional post-closing consideration based on the realization of certain assets of Far East National Bank. We issued 926,192 shares of our common stock, with the remainder to be paid in cash. Until all necessary regulatory approval is obtained for Far East National Bank to be merged into Cathay Bank, we will be operating two banks under Cathay General Bancorp. This transaction is expected to be over 1% accretive for Cathay Bank's GAAP earnings per share, excluding any one-time transaction costs and restructuring charges in 2017, and approximately 4% to 5% accretive in 2018. Turning to the second quarter results; we reported net income of $51.4 million for the second quarter of 2017, a 47.6% increase when compared to the net income of $34.8 million for the second quarter of 2016. Diluted earnings per share increased 45.5% to $0.64 per share on the second quarter of 2017 compared to $0.44 per share for the same quarter a year ago. In the second quarter of 2017, our gross loans excluding loans held for sale grew by $206 million to $11.6 billion or an increase of 7.2% on an annualized basis, when compared to the first quarter of 2017. The increases in loans for the second quarter of 2017 resulted primarily from residential and commercial loans, which grew by $172 million or 26% annualized and $64 million or 12% annualized respectively. Commercial mortgage loans decreased by $22 million or 2% annualized, as a result of high payoffs. We anticipate organic loan growth in 2017 to be still 7% to 8%. For the second quarter of 2017, our total deposits increased $124 million to $11.5 billion as we continued to reduce broker and wholesale deposits. Our core deposits remained relatively flat at $9.3 billion, when compared to the first quarter of 2017. With that, I will turn the floor over to our Executive Vice President and Chief Financial Officer, Heng Chen, who will discuss the second quarter 2017 financials in more detail.
Heng Chen: Thank you, Pin, and good afternoon everyone. For the second quarter, we announced net income of $51.4 million or $0.64 per share. Our net interest margin was 3.63% in the second quarter of 2017 as compared to 3.38% in the second quarter of 2016 and 3.49% for the first quarter of 2017. The increase in net interest margin in the second quarter was partially due to rising interest rates, in addition to interest recoveries and prepayment penalty, which added 6 basis points to the net interest margin, compared to 3 basis points for the first quarter of 2017 and 4 basis points for the second quarter of 2016. Non-interest income during the second quarter of 2017 was $6.2 million. Non-interest expense decreased by $12.2 million or 17.7% to $56.7 million in the second quarter of 2017 when compared to $68.9 million in the same quarter a year ago. For the second quarter of 2017 compared to the same quarter a year ago, amortization of investments in affordable housing and alternative energy investments decreased $21.2 million, offset by a $4.6 million increase in salary and employee benefits expenses, and a $2.8 million increase in other operating expenses, which include a $1.1 million increase in the reserve for off balance sheet commitments during the second quarter of this year. The effective tax rate for the second quarter of 2017 was 23.1%. We completed our investment in the solar tax credit fund during the second quarter. We anticipate that our effective tax rate for the second half of 2017 will be about 29%. We expect solar tax credit amortization expense of about $7 million per quarter for the third and fourth quarters of 2017. At June 30, 2017, our tier-1 leverage capital ratio increased to 12.08% as compared to 11.57% at December 31, 2016. Our tier-1 risk based capital ratio increased to 14.7% and 13.85% at December 31, 2016, and our total risk based capital ratio increased to 15.35% from 14.97% at December 31, 2016. All ratios significantly exceeded well capitalized minimum ratios under all regulatory guidelines. At June 30, 2017, our common equity tier-1 capital ratio was 13.26. Net recoveries for the second quarter of 2017 was 266,000. Net charge-offs was $6.5 million in the second quarter of 2016 and $922,000 in the first quarter of 2017. We do not have any loan loss reversals for the second quarter of 2017 compared to $5.2 million for the second quarter of 2016 and $2.5 million for the first quarter of 2017. Our non-accruals increased by 20.5% or $10.9 million to $64 million or 0.55% of period end loans as compared to the second quarter of 2016.
Pin Tai: Thank you, Heng. We will now proceed to the question-and-answer portion of the call.
Operator: [Operator Instructions]. Our first question comes from Aaron Deer with Sandler O'Neill.
Aaron Deer: Hi, good afternoon everyone. My first question is with respect to the increase in the NPLs. Can you talk about what drove the increase in the construction and real estate loans on non-accrual, and maybe give us some specifics if you can behind those credits?
Heng Chen: Yeah, Aaron. This is Heng Chen. There were a couple of loans, construction loans in New York that became delinquent, but they are very well secured. So we put them on non-accrual and we are working them out. But -- so that's all there is to that.
Aaron Deer: Okay. Is that residential housing, is it commercial, what type of property is that?
Heng Chen: Oh I am sorry. It is construction --
Pin Tai: Residential.
Heng Chen: Condo. Oh yeah [Multiple Speakers].
Aaron Deer: Okay. And then, just a question on the deposits; looks like you have let some of that run off in the quarter despite the strong loan growth. As you look forward to funding the growth for the back half of the year, do you anticipate having to pay up for deposits at this point? Are you still -- do you still expect to get some good inflows without having to necessarily pay up?
Heng Chen: Well we -- this is Heng Chen, Aaron. We are not going to increase our core deposit rates; because in our marketplace, nobody else is doing that. But we will -- two things, one Far East, they have -- their loan-to-deposit ratio is only about 85%, so they will generate about $150 million or so of excess deposits. And then, we will -- we have been letting broker CDs run-off during the first half of this year, and we will be going back into that market for broker CDs. So you can see our cost of deposits or core deposits was flat, and I think one of them, it flopped up 1 basis point on a linked quarter basis.
Aaron Deer: Okay. Good stuff. Thanks for taking my questions.
Heng Chen: Thank you.
Operator: Thank you. Our next question comes from Chris McGratty with KBW.
Chris McGratty: Hey, good afternoon. Thanks for taking the question.
Heng Chen: Hey Chris.
Chris McGratty: Hey Heng. Quick question on the impact of the yield curve. We have heard a lot of banks offer a little bit more cautious outlooks, given what's happening to the shape of the curve and the impacts on both sides of the balance sheet. I am interested, maybe if you put that together and offer kind of a near term outlook for the margin, understanding that obviously this quarter was a bit elevated with the prepayments and the interest reversals?
Heng Chen: Yes. Well I think first, on the margin; we think in the third quarter, it will be above 3.6%. We had $50 million of structured repos that matured yesterday actually, so that reduces our total interest earning assets. And then, the Far East, we think they will help our margin by maybe 1 basis point. So then in terms of the yield curve, we -- our residential mortgage is primarily priced off of a three year portion of the yield curve, and so that's actually gotten up a little bit. And then lastly, our commercial real estate is priced off of the five year treasuries, but we generally have been swapping them into floating. I think the demand for -- what you can tell, in the second quarter, our CRE loans fell. But maybe, you can talk a little bit about the level of interest for fixed rate CRE loans.
Pin Tai: Well certainly, I think that the demand for fixed rate is still there. However, there is severe competition from the major banks, and to some point we don't feel that we want to offer a very-very low fixed rate, in order to hold on to the commercial real estate loan. That's why we’re going to have some large payoffs.
Heng Chen: Right, right. And then so, I think to just circle back, we are very cognizant that the -- there is possibly a rate hike in December, and then there is possibly three more rate hikes in 2018. And so, while we have been pretty low when the -- we have a lot of the assets tied to prime [ph]. So we think our margin will drift up over -- in the first quarter, and then slightly in 2018.
Chris McGratty: Okay. If I could, on the outlook; from a liquidity perspective, obviously Far East adds a little bit to the balance sheet. But you have been moving the security to earning asset ratio down, considerably over the past couple of years. Are we at a level where the dollars of the investment portfolio begin to grow, or are you comfortable kind of keeping it perhaps in the high-single digits in proportion to the balance sheet?
Heng Chen: Yeah. I think we are going to keep it there. Far East, they have $100 million of securities, which will -- we are targeting about $1.2 billion, and with that, it would go to $1.3 billion. We are waiting for interest rates in our securities portfolio, we have about $400 million of very short term treasuries. Though it's not giving us much yield, but we are just waiting for interest rates to go up a little bit more before we go from treasuries into MDS.
Chris McGratty: Great. And then if you might, repeating the amortization outlook for the back half of the year. I think you said seven, but the other piece would be around five, is that around right?
Heng Chen: Oh that solar amortization, we think it's $7 million each quarter. Again, the loan on housing is about $5 million.
Chris McGratty: Okay. Thanks for taking the questions Heng.
Heng Chen: Sure. Great.
Operator: Thank you. [Operator Instructions]. Our next question comes from Matthew Clark from Piper Jaffray.
Matthew Clark: Hey, good afternoon.
Heng Chen: Hi Matthew.
Matthew Clark: Hi. So first question on the interest income reversals in the quarter, just curious how much that contributed to the margin this quarter versus last as well?
Heng Chen: It was 6 basis points this quarter and 3. Now we lump that with prepayment penalties. So generally, the prepayment penalties are a little bit more than the interest reversals or the interest collections.
Matthew Clark: Okay. So that's all in the 6 and 3?
Heng Chen: Yes.
Matthew Clark: Okay. And then, your margin outlook for the upcoming quarter? You obviously had a rate hike in June. Does that 360, obviously, incorporates the benefit there on prime?
Heng Chen: Yes. And then, this has had a temporary for the third quarter. We are actually running two banks. Right now at Far East, they have a quarter of a billion of excess liquidity, where as Cathay, we now don't have any excess liquidity. So it's in our guidance, that's one reason why we are guiding to only like 360 in the margin, because we have this quarter of a billion at Far East, sitting at the Fed, and once the bank merger is completed, hopefully sometime in the fourth quarter, then we can shrink our earning assets by that amount.
Matthew Clark: Got it. Okay. And then just speaking -- out with the -- your excess capital, after the deal is closed; because how should we think about share repurchase and other forms of capital management?
Heng Chen: Yes. So first, we issued roughly 921,000 shares to bank SinoPac and we will over time, buy that back, and for those shares will relatively be different to stock price, because we issue them at close to $37.5 per share or something like that. And then to the extent, we see weakness in our stock price. In 2018 especially, we will go back; our goal is to further buyback about 2 million shares a year, to help reduce our excess capital and this acquisition has made things complicated because of the moving parts, but going into 2018, depending on the stock price, we may resume more stock repurchase.
Matthew Clark: Okay. And then just the tax rate next year, how should we think about that as well?
Heng Chen: Well, we think it's going to be 29%. It was delayed in terms of putting in our solar tax credit investment and our hope is that, we start another one early in the first quarter. So we will get a full year's benefit of the solar tax credit investment. So it should hold our tax rate at 29, a little less than that.
Matthew Clark: Okay, great. Thank you.
Heng Chen: Thank you.
Operator: Thank you. Our next question comes from David Chiaverini with Wedbush Securities.
David Chiaverini: Hi, thanks. I wanted to follow-up on the question about credit quality. You mentioned that these were condo construction loans in New York. Are these high end condos?
Pin Tai: No. We do not normally do high end condo construction. Most of the constructions of the condo is kind of medium or lower medium size.
David Chiaverini: Okay, great. And I think Heng mentioned that there is a decent amount of equity in these, do you know what the --
Pin Tai: The loan to cost [ph] and loan to value is very low for this loan. So we don't think there will be any loss.
David Chiaverini: Okay, great. And then following up on the deposits, is there any seasonality between the first and second quarter? Was wondering, what's behind the decline of deposits in the quarter? I see time deposits came down, but a little bit of a core deposits came down as well?
Heng Chen: I think sometime around Chinese New Year, some of our depositors remit their cash back to Taiwan or Hong Kong, so it could be, the second half of the year is a little stronger for core deposits.
David Chiaverini: Great. Thanks very much.
Heng Chen: Thank you.
Operator: Thank you. Our next question comes from Lana Chan with BMO Capital Markets.
Lana Chan: Hi, good afternoon.
Heng Chen: Hi Lana.
Pin Tai: Hi Lana.
Lana Chan: Hi. Could you talk about pricing on some of your loan portfolios? Has that changed in resi pricing, CRE and CNI?
Pin Tai: For the new loan that we originate recently, I think the pricing is slightly higher for the residential mortgage, definitely. The new loans that we are originating is at the highest interest rate than the existing portfolio, that right now is about 42%. And for the commercial real estate, for fixed rate loan, right now we underwriting close to 5%. Our existing portfolio is 4.74%. And the CNI, we are basically doing a prime basis, which is slightly higher than the existing year, 4.03%.
Lana Chan: Okay. Thank you. And on the resi mortgage, that continues to be one of your key growth drivers. Can you talk about demand in the pipeline there?
Pin Tai: Yes. Our pipeline [ph] is still quite high compared to the previous year, which is quite surprising to us, because the original we are thinking that this year will be stretched. But we are seeing a lot of demand.
Lana Chan: Okay. Thank you. That's all I had.
Heng Chen: Thank you.
Operator: Thank you. [Operator Instructions]. Our next question comes from Gary Tenner with DA Davidson. Mr. Tenner, your line is open.
Gary Tenner: Hi, sorry. Good afternoon.
Heng Chen: Hi Gary.
Gary Tenner: I hopped on a little late, so I apologize if I missed this in your comments guys; but with the loan growth being a little bit challenged this quarter, I think you commented on some payoffs on commercial real estate. Could you talk about kind of what the full year loan growth expectations are, relative to what you have said in the past?
Pin Tai: We are still expecting a 7% to 8% growth for the second half of the year. And right now, if we look at our pipeline, actually our CNI pipeline is quite strong. So we are anticipating that we should have a very strong quarter for CNI loan growth.
Gary Tenner: Okay. Thank you.
Operator: I am showing no further questions at this time. Thank you for your participation and we will now turn the call back over to Cathay General Bancorp's management for closing remarks.
Pin Tai: Thank you for joining us for this call, and we look forward to speaking with you on our next quarterly earnings release date. Thank you.
Operator: Ladies and gentlemen, this now concludes today's conference. Thank you for your participation. You may all disconnect and have a wonderful day.